Operator: Good morning and thank you all for standing by. I’d like to inform all participants that your lines will be on a listen-only mode until the question-and-answer session of today’s call. Today’s call is also being recorded, if there are any objections, you may disconnect. I will now turn the call over to Mr. Mark Oswald. Thank you. You may begin.
Mark Oswald: Thank you, Christie. Good morning. And thank you for joining us as we review Adient’s results for the third quarter of fiscal year 2019. The press release and presentation slides for our call today have been posted to the Investor section of our website at adient.com. This morning, I am joined by Doug DelGrosso, Adient’s President and Chief Executive Officer; and Jeff Stafeil, our Executive Vice President and Chief Financial Officer. On today’s call, Doug will provide an update of the business, followed by Jeff, who will review our Q3 financial results. After our prepared remarks, we will open the call to your questions. Before I turn the call over to Doug and Jeff, there are few items I’d like to cover. First, today’s conference call will include forward-looking statements. These statements are based on the environment as we see it today and therefore involve risks and uncertainties. I would caution you that our actual results could differ materially from these forward-looking statements made on the call. Please refer to slide two of our presentation for our complete Safe Harbor statement. In addition to the financial results presented on a GAAP basis, we will be discussing non-GAAP information that we believe is useful in evaluating the company’s operating performance. Reconciliations to these non-GAAP measures to the closest GAAP equivalent can be found in the appendix of our full earnings release. This concludes my comments. I will now turn the call over to Doug. Doug?
Doug DelGrosso: Okay great. Thanks, Mark. And thanks to the investors, prospective investors and analysts joining the call this morning, spending time with us as we review our third quarter results. Turning to slide four, first just a few comments on recent developments, including certain of our key financial metrics, which are called out at the top of the slide. Although, our third quarter results are down year-over-year, Adient’s financial results improved sequentially for the second consecutive quarter as benefits related to turnaround actions implemented earlier this year more than offset significant industry weakness in China. No doubt, a good outcome and evidence the turnaround is tracking in the right direction, sales and adjusted EBITDA for the quarter totaled $4.2 billion and $205 million respectively, sales were in line with our internal expectations, continued operational headwinds within the Americas and European segments combined with significantly lower vehicle production in China were the primary contributors to the $130 million year-over-year decline in EBITDA. Adjusted earnings per share fell $0.38 in the most recent quarter as the lower level of operating profit dropped right to the bottom-line. We ended the quarter with just over a 1 billion cash on hand at June 30th. Important to note, the adjusted results covered excluded certain charges that we view as one-time in nature or otherwise skewed trends in the core operating performance of the company. Jeff will discuss these items and provide additional details on our segment performance, cash flow and balance sheet in just a few minutes. Outside the financial results, other recent developments include a number of customer events that were completed across Asia, Europe and North America, events showcased our current and future product offerings and, equally important, highlighted a number of opportunities to increase program profitability for both Adient and our customer through innovative BAD initiatives. Feedback has been overwhelmingly positive with more events planned for later this year, customers adding it with pleased that one, the quality first award from PSA Group at the Annual Supply Awards ceremony in June. Adient was recognized for delivering outstanding achievements in product development and operations while meeting PSA's quality requirements and supporting its business transformation. And finally, we were awarded a number of product wins during the quarter. Slide five provides few examples of the recent wins. As you can see from the examples highlighted the recently awarded programs include both replacements and new business wins, includes a great mix of truck, SUV and luxury platforms such as Ford Ranger, Porsche Macan, Buick Envision and VW Amarok, to name just a few. Given the customer mix, geographic mix, platform mix of these and other recent business awards we expect Adient leading market positions continue to strengthen in the coming years. Definitely one of the many reasons were excited about the future as we look forward, win rates are tracking as expected, and in line with historical performance. For example, replacement businesses as being one at a greater than 90% rates across total Adient, if you drill down further the replacement win rates for our seeding business year-to-date in China, and North America is running at 100% and Europe is also showing strong results at 90%. Likewise, our new business wins continue to track in line with past performance in internal expectations. Of course, wining business is the first step, once the program is awarded, comparative to develop and launch the programs flawlessly. It goes without saying, this has been and continues to be a focus area for the team after falling short of our high launch standard from an historical level of performance. The increase focus is translated into improving launch performance which we experience in Q3. Slide six illustrates programs that were successfully launched in the most recent quarter, including Daimler A class Sedan, the Jeep Gladiator and the Renault Captur. On the right-hand side of the slide you can see various actions the team is executing to stabilize and improve our launch performance, such as ensuring adequate on-time staffing, increase focus on change management, enhance readiness and program reviews and early escalation of potential issues. Grades [ph] are not new concepts rather concentrated efforts focusing on the basics. Although we're making progress, more work is needed to ensure ongoing future launches return to SN [ph] class standards. Turning to slide seven, I'd like to provide some commentary on the turnaround and share a few tangible proof points on the progress we've made over the past few quarters. First, the team has made solid progress on improving the operating performance at our underperforming plants. As mentioned previously, the number of troubled plans is limited to a handful cross-seeding SS&M. However, the losses of the plants have had a significant impact on Adient's finance results. The team continues to execute against detailed work plans, designed to eliminate operational waste and improve utilization rates. One of our critical jet plants at Sheridan, Michigan has made significant progress due to successful execution of variety of operational and commercial actions with the most recent being the ability to reduce headcount to align with our customer broadcasts and production requirements. Since October, the plant run rate has improved significantly. One step that stands out relates to the required production labor, which in the first quarter of this year ran at approximately 616 members. Today due to actions implemented and improved operating performance, we're running at approximately 528 team members. Second, we're achieving significant reductions in premium praise and containment costs. As you might expect, this is very much linked to stabilizing and improving the overall operating environment on this front, we're driving more timely closures of issues and pursuing recoveries on supplier and customer related issues. The benefit of reduce containment premium pray and ops fleet was contributed to sequential quarter on quarter improvement in Q3 results reported today. Year-to-date, premium freight is down 65% across the company down 70% in the Americas 50% in Europe, and we expect this trend to continue into Q4. Increasing program profitability is another area we've progressed. It starts with commercial discipline, making sure you're bidding on the right programs at the right price and taking advantage of change management to walk margins higher where possible. Similar to the previous focus areas discussed progress was made on the front during the quarter as we resolve the backlog of open pricing issues with our final customers. As mentioned on our last earnings call, resolving these issues with the first step intended to stop the bleeding and certain programs. Additional efforts in the area of VAV the initiatives change management and focusing on returns through product lifecycle are moving forward to improve program profitability. It's encouraging to see our efforts translating into improved operating financial performance. As you can see by the chart on the lower right-hand side of the slide, Adient's EBITDA margin, with and without equity income has improved sequentially since Q1 has a turnaround actions implemented gain traction. A very good result, especially considering we've achieved despite downward pressure on earnings from a variety of macro headwinds, particularly week industry conditions in China. Two additional comments before moving on; first, affected earnings growth driven by the company self-help initiatives is not dependent on improved macro environment. At point to the quarter just completed as a good proof point. And second, despite the progress demonstrated in Q3, we continue to stress turning around the operations and achieving acceptable levels of profitability will be a multiyear journey. We've made good progress, but a lot of work lies ahead. Moving on in flipping to slide eight, we included this slide as a reminder how we expect the pacing of the turnaround to progress. The plan is on track, its efforts to stabilize the business this year are taking root and having a positive impact on our operations and financial results. We continue to expect further stabilization and reaffirm this morning with our earnings release H2 EBITDA and EBITDA margins will improve versus H1 of this year despite weaker than expected H2 market conditions in China. As we exit fiscal 2019 and progress through 2020 and 2022. We expect our continued focus on operational excellence commercial discipline, the reduction of overall launches and the right-side team of SS&M will drive a large improvement in margins. But more importantly, an even greater and more tangible benefit and free cash flow. We are currently finalizing our fiscal year '20 assumptions and plan to share our expectations once finalized. Before turning the call over to Jeff, let me conclude with a few comments related to the China market and overall macro environment. Starting with China, the China economy personally consumer sentiment remains weak. Passenger vehicle sales and production continue to be significantly impacted by the overall economy, and industry-specific factors such as the pull forward, of the GV6 emission standards. As cautioned on our Q2 earnings call in early May, signs of stabilization were not materialized in heading into Q3 as we originally expected. In Q3, Adient deliveries were down skeptically due to less inventory reductions of certain of our main customers, in fact a few of our customers experienced production decline between 30% and 40%. Based on current production schedules including extended down weeks that occurred in July we are expecting limited upside in Q4 fiscal year 2019 collaborate the lower level of inventories and set the stage for fiscal year ’20 recovery. More on 2020 expectations once the fiscal year ’20 plan has been finalized, in addition to headwinds coming from China other macro factors such as tax and the weakening U.S. dollar has placed downward pressure on earnings which as we expect the team is working hard to offset mitigate and despite these added pressures we continue to expect our significant self-help initiatives will drive further earnings growth and cash generation. With that, I’ll turn it over to Jeff so he can take us through Adient’s financial performance for the quarter and what we expect from the remaining of the fiscal year.
Jeff Stafeil: Great thanks Doug, good morning everyone. Starting my comments on page 11 and before jumping into the financials I’d like to point that there were several one-time non-cash charges that significantly impacted Adient’s Q3 GAAP results. The biggest charges are financing tax related items as a result of the new debt arrangements the incremental interest expense and the repositioning of our inter-company financing it became difficult to support the full utilization of our deferred tax assets in certain geographies. Therefore, we recorded valuation allowances against these balances. These valuation allowances impacted our net loss by about $250 million in the quarter. It should be noted this will result in an increase in our current and future effective tax rate, but it will not negatively impact our future cash tax payments. As a result of these items we were required to adjust our fiscal 2019 effective tax rate which resulted in additional tax expense of approximately $50 million related to the first half of 2019. Outside of taxes restructuring charges, our UK mark-to-market adjustments and the deferred financing fee also impacted the GAAP results. Total these items impacted Adient’s GAAP net loss by $334 million in the quarter. Turning to slide 12 and adhering to our typical format the pages formatted with our reported results on the left and our adjusted results on the right side we will focus our commentary on the adjusted results. These adjusted numbers exclude the one-time special items just discussed complete disclosure of the adjusting items are called out in the appendix. Sales were $4.2 billion down about 6% year-over-year. FX accounted for about half the decline. Adjusted EBITDA for the quarter was $205 million down a $113 million or 36% year-on-year, largely explained by decline in business performance in the Americas and EMEA along with lower volume and equity income in our Asia segments. I’ll cover this more in detail in a few minutes. Finally adjusted net income and EPS were down approximately 74% year-over-year at $36 million and $0.38 respectively. Now let’s break down our third quarter results in more detail. Starting with revenue on side 13, we reported consolidated sales of $4.2 billion a decrease of $275 million compared to the same period a year ago. As mentioned just a moment ago, the negative impact of currency movements between the two periods primarily in Europe accounted for just over half of the decline. Lower volume mix in Europe and Asia with partial offset in North America impacted year-over-year results by approximately a $125 million. While this result in North America and EMEA was consistent with internal expectations the sales and earnings in China was worse than expected. Moving on with regard to Adient’s unconsolidated revenue our Q3 results were significantly impacted by the much lower levels of vehicle production in China. Unconsolidated seating and SS&M revenue driven primarily through our strategic JV network in China was down about 17% when adjusting for FX, as mentioned earlier on the call aggressive inventory reductions in certain of our main customers combined with balance out of certain programs resulted in underperformance compared with vehicle production in the quarter. Sales for our unconsolidated interior segment or business recognized through a 30% ownership stake in Yanfeng Automotive Interiors or YFAI were down approximately 21% year on year when adjusting for FX. Moving to slide 14, we provide a bridge of adjusted EBITDA to show the performance of our segments between periods. The bucket labeled corporate represent central costs that are not allocated back to the operation, such as executive office, communications, corporate finance, legal and marketing. Big picture, adjusted EBITDA was $205 million in the current quarter versus $318 million last year. The corresponding margin related to the $205 million of adjusted EBITDA was 4.9% down approximately 220 basis points versus Q3 last year. The primary drivers of the year-over-year decline as attributed to negative business performance, largely launch related, the negative impact of lower volumes and mix, primarily within EMEA and Asia and a $23 million FX adjusted decline in equity income. Macro factors, including negative impact of foreign exchange also weighed on Q3. I will point out that despite being down year-over-year sequentially compared to Q2 2019 results improved by $14 million. This is the second consecutive quarter of improvement and demonstrates the operating environment Americas and EMEA has stabilized and is begun to improve, Adient on unacceptable levels. Also, worth noting SS&M progressed positively versus Q2 2019 as global results improved by about $13 million sequentially. Similar to past quarters, we've included detailed bridges for our reportable segments which consist of Americas EMEA and Asia on slide 15, 16 and 17. Starting with Americas on slide 15, adjusted EBITDA decreased to $69 million, down $30 million compared to the same period a year ago. The primary drivers between the periods include an approximate $27 million unfavorable business performance, including approximately $17 million of operating performance, higher freight and negative net material margin, I note that we did see an improved launch an op waste performance and lower premium freight. Also included in the business operating performance was $9 million year-over-year decline within the assets and business primarily associated with unfavorable mix. Other headwinds included a $14 million increase in SG&A cost which is more than explained by temporary SG&A benefits last year related to the elimination of the company's 2018 incentive comp accrual. Additional headwinds related to an increase in Adient aerospace spending, partially offset by reduced engineering cost and year-over-year decline in equity income. Partially offsetting the headwinds just mentioned were lower commodity prices of about $9 million and benefits associated with higher volumes call it $5 million. On a sequential basis, compared with Q2 fiscal 2019 results for the Americas improved by $37 million, primarily driven by improved labor and overhead a decrease in operational waste and premium freight, definitely positive sign in evidence that actions taken to improve the business earlier this year to gain traction. One last point on Americas, our CapEx for the segment was approximately $39 million in the quarter. Turning to slide 16, in our EMEA segment performance, for the quarter, adjusted EBITDA was $53 million or $44 million lower compared with Q3 2018. The primary drivers between Q3 this year and last year's third quarter include negative business performance, call it a $23 million headwind, including launch related costs and inefficiencies associated with the common front seat architecture we have discussed several times in the past. Lower volumes and mix impacted the segment by roughly $9 million and finally FX resulted in an approximate $8 million headwind in Q3 versus the same period last year. I will point out that although the assessment business in Europe was down $12 million year-over-year results were $12 million better versus Q2 2019 as actions taken to stabilize the business gain traction. CapEx for EMEA was approximately $51 million in the quarter. Finally turning to slide 17 and our Asia segment performance, for the quarter, adjusted EBITDA was a $110 million or $36 million lower compared with Q3 2018. Headwinds from lower volume and a decline in equity income resulting from a significant reduction in China auto production totaled $18 million for each and were the primary drivers of the year-over-year decline. In addition, business performance was also in modest headwind call it $4 million driven imparted by the lower volumes due to the higher fixed cost nature of a manufacturing business. And finally, to a lesser extent macro factors namely foreign exchange weight on the quarter by approximately $6 million partially offsetting the headwinds for positive contributions from lower SG&A cost and lower commodity prices. Asia’s CapEx for the quarter was approximately $8 million. Let me now shift to our cash and capital structure on slide 18 on the left side of the page we break down our cash flow. Adjusted free cash flow defined as operating cash flow less CapEx was a $168 million for the quarter. This compares to $252 million last year. Important to remember, last year’s launch and initial sale of accounts receivable financing facility provided an approximate $94 million benefit of free cash flow. Excluding the factoring program free cash flow in Q3 2018 totaled about $158 million essentially flat with our Q3 results. Lower capital expenditures an increase in customer tooling recoveries and a decline in restructuring cost essentially offset the lower earnings when comparing the two periods. I’ll also point out during the quarter cash dividends received from our China JVs totaled approximately $165 million. Capital expenditures for the quarter were $98 million compared with a $138 million last year. As you can see in the footnote, we continue to breakout CapEx by segments. On the right-hand side of the page, we detail our cash and debt position. At June 30, 2019, we ended the quarter with just over $1 billion in cash and cash equivalents. As mentioned upon the completion of the debt refinancing, we intentionally increased our liquidity and capital structure flexibility to further enable the turnaround and protect against uncertain macro risk such as softening end markets. It’s early days since completing the refinancing and gaining traction on the operational turnaround so rest assure, we will continue to monitor and assess our cash position with debt paydown being a priority. Moving on, gross debt and net debt totaled $3,777,000 and $2,752,000 respectively at June 30. And worth mentioning no near-term maturities thanks to the refinancing later in May. Moving on to slide 19, let me conclude with a few thoughts on what to expect on the remainder of the fiscal 2019. Based on current vehicle production plans and expected movements in foreign exchange we continue to expect revenue to settle in to $15.5 billion to $16.7 billion range and plan Q4 revenue of approximately $4 billion and consistent with what we would expect as a result of our normal seasonality. This would result in revenue being down approximately $150 million year-over-year or $200 million from the quarters just completed. With regard to adjusted EBITDA we continue to expect second half results and margin to surpass first half performance despite weaker than expected market conditions in China as actions taken to improve the company’s operating and financial performance gained traction especially as it relates to the self-help initiatives within Americas and Europe. Included in our EBITDA assumption is equity income of approximately $265 million down from our earlier expectations given the continued weakness in China. In fact, based on our current expectations, the weaker than expected China market will likely result in equity income in H2 being down approximately $25 million compared with the first half. Our assumption in early May assumed flat to slightly better performance. If we combine consolidated results in China, China performance is expected to be down approximately $35 million in the second half compared to the first half, the decline is more than explained by volume. Combining the expected drop in sales due to normal seasonality with the expected decline in equity income, partially offset by self-help initiatives in the Americas and Europe that are gaining traction likely translates to an adjusted EBITDA in Q4, slightly below the $205 million posted in Q3. Moving on, based on our expected cash balance in debt. We continue to expect full year interest expense to be approximately $175 million. With regard to taxes, the establishment evaluation allowances in several jurisdictions over the past few quarters have significant impact on our adjusted effective tax rate and variability of the rate between quarters. As evidence with Q3 is approximately 39% adjusted effective tax rate. As a result, we'll continue to focus more on our cash tax estimates for the year, which continues to be approximately $105 million to $115 million for the year, based on our expected earnings and composition of those earnings. This outcome would be about $30 million less than fiscal 2018. One additional point on cash taxes, important to remember, more than 50% of our cash tax payments relate to consolidated JVs and withholding taxes on dividends from JVs. One last item for your modeling, based on your performance through the first nine months of 2019, and given our intense focus on cash flow, we now expect capital expenditures to settle in the $500 million to $525 million range. At the lower end of the range, Q4 capital spending would be about $150 million. This level of spend combined with a reversal of temporary working capital benefits experienced through the first nine months of the year, essentially, driven by quarter and timing will result in a free cash outflow for the year, likely in the range of $200 million and somewhat better than earlier internal forecast. As a reminder, and as we called out on slide 18, one factor that can influence the cash outcome is Adient's trade working capital, which is highly sensitive to quarter end dates. Before opening the call to your questions, just a quick comment on the tariffs as this topic resurfaced last week, as a reminder, we had anticipated a headwind of about $20 million for fiscal 2019. This was primarily associated with Section 301 duties impacting our electric motor drives, and to a lesser extent, Section 232 duties impacting certain of our steel and steel tubes. The elimination of Mexico and Canada steel tariffs in late May was positive news. However, last week's tweet calling for a 10% on all other goods beginning September 1st will partially offset the benefit. Based on what is known today, it appears Adient's total exposure or headwind in fiscal 2019 will be approximately $15 million. We'll continue to monitor the situation and provide you with updates as potential outcomes become clear. The team will continue to focus on customer recoveries and additional mitigation actions to help lessen the impact going forward. With that, let's move to the question-and-answer portion of the call. Operator, can we have our first question?
Operator: Thank you. [Operator Instructions] Our first question comes from Brian Johnson of Barclays. You may ask your question.
Brian Johnson: Yes. Good morning. A couple questions, first, just used to be the pace of customer discussions given the OEMs are having their own issues. When you say increased program profitability, you've talked in the past about 5 critical launches that were sounds like money losing. Last quarter, you indicated that those were perhaps on the path to become breakeven, is that still your goal or because they actually get to a point where they're contributing profitability?
Doug DelGrosso: So, first of all good morning, Brian. Let me take a shot at answering it maybe not in the most directly. Because I think about it not so much in terms of breakeven, I think what you're referring to. We had a couple customers where we had a backlog of open commercial issues. And we were trying to get to an immediate cash neutral position with those customers on those issues. That's what we refer to is stopping the bleeding. We've essentially achieved that this quarter with those particular customers. I wouldn't characterize that, as all of the customers that we had open issues or certainly, our objective is to far exceed a breakeven settlement that was, I think, unique to that particular situation. And to that particular situation, I think it now sets us in a position that allows us then to use a number of, say, commercial tactics to then enhance the performance of that business. And I think what we're seeing with all of our customers right now, particularly with the sensitivity of volume, and the situation in China is they're much more open in and that's why we keep underscoring emphasizing our activities around value engineering, and just cost reduction proposals. And we've had some really good discussions on a wide base of customers. And that's, you know, accretive to our performance, some of which you're now seeing reflected in, you know, 2Q results.
Brian Johnson: Okay, second question, sort of building on that, in prior slide decks, you talked about the margin gap to the payers, which is fiscal 2018, was about 4 basis points. Since now we've combined the business in the U.S, I guess, we can do the work to back out SS&M, but how, you know, can you give us an update on how much left gaps has been closed so far? And then, given the timing you're talking about on page eight? How that gap would close over that time period?
Doug DelGrosso: Yes, we haven't specifically spelled out how much the gap is -- it is closed, arguably, it's open slightly since we compare to fiscal year 2018 results, and we've had deterioration in our fiscal year 2019. That being said, what we've tried to outline is, this is a multiyear plan, and this year has been really focused on stabilizing the business, stopping the bleeding. And, arguably going after low hanging fruit, but really attacking operational inefficiencies, a premium freight containment with a level of commercial resolution mixed in on that. We looked at it and said, this is a multiyear program, we've, laid out that 2022 timeline that says when we have high confidence, we could completely close that gap. How we step through it, I think you'll have to wait until we start to provide some vision on 2020, which we're not just starting to finalize is to what the next incremental improvement as a today's call, really not prepared to target a specific number.
Brian Johnson: Yes. Okay. Thanks.
Doug DelGrosso: You're welcome.
Operator: Thank you, Emmanuel Rosner of Deutsche Bank. You may ask your question.
Emmanuel Rosner: Good morning, everybody.
Doug DelGrosso: Good Morning.
Jeff Stafeil: Good morning.
Emmanuel Rosner: So, first question on the, the operational improvement is obviously nice to see in overall EBITDA traction on the sequential basis. Would you be able to point us to in the more specifically whereby segments or sub segments where we should -- we should be able to know, track them in the numbers, obviously, America has improved, quite a bit, SS&M as well. I guess we're sort of like the pockets where the strongest, more noticeable operational improvement is happening and where we could expect either more of this to come in the quarters' coming?
Jeff Stafeil: Yes, good question. I think we've seen improvements, in particular, in North America, and Europe, North America more pronounced this quarter, there's been a number of launches that, as have caused us problems and as some degree is those launches, have - we've worked past some of the initial issues, it's been harder to bring back to the margins we had on the programs that they had replaced. So, that's been one of the primary focus of the team. They've been shipping away at it. I think if you look at just our overall operational waste, our launch cost premium freight metrics are all improving in those regions. And, you know, we're definitely seeing in the numbers. The things that are, you know, kind of coming against us a little bit obviously, you know, China is such a big port portion of earnings, all of Asia is a big portion of our earnings. With that being down as much as it was it's masked a lot of it. As well as you've seen some elements of sales and mix pressure in the U.S., in particular, but also in Europe as some of our higher profitable vehicles had some reductions in their volume but I would say overall and the things that we can control, were seeing significant improvements and I'd say building momentum that that gives us some promise that there's more opportunity to run as we go forward.
Emmanuel Rosner: That's helpful. And I guess zeroing in specifically on the fourth quarter. So, I think you're mentioning maybe it's shaking a little bit softer sequentially than the third quarter can we speak little bit about the puts and takes over here from a high level. I could see that your equity income expectation is quite a bit weaker into the fourth quarter, curious what are you seeing there, obviously no more seasonality of revenue as well which is down, but I would also have expected offsetting these to see further progress in the operational turnaround maybe further benefit. Can you just put a little bit of a finer point of how these are expected to shake out?
Doug DelGrosso: It's a good question and obviously there is a lot of volatility that can happen in the numbers as we go forward as we're still sort of early days of the turnaround here. But I would say a couple of things. One is revenue is going to be highly impactful to us. Our calendar Q3, our fiscal Q4 is the time of volatile production schedules and it's even more volatile in these days. So, we have seen a lot of downtime in the customers from a normal perspective and then there has been some downtime that hasn't been necessarily planned or contemplated, which has played -- had the difficulty here. Because you can imagine that our margin is roughly two times -- our contribution margin is roughly two times or EBITDA margin, so you know that revenue falls and it has a bigger impact. We are still seeing improvements, we are still seeing all those things I just talked about an operational way, line performance, et cetera., but it's counteracting some uncertainty in the market and that really what drove our numbers. As it relates to China, our fiscal Q3, we think it was probably the low water points from a production schedule, primarily due to the emissions change as the market was closed to a 20% down in production but we still are seeing roughly 15% down production environment in China in our fiscal Q4 that will drag our numbers and contemplated in the numbers I talked about earlier.
Emmanuel Rosner: But just to be clear that’s very helpful, just to be clear should we expect further benefits from operational improvements in the fourth quarter beyond what was in the service.
Doug DelGrosso: Maybe I didn’t get your question Emmanuel, can you say it again.
Emmanuel Rosner: Just curious if in offsetting these headwinds that you spoke about, are they also some function increase in operational improvement between the service.
Doug DelGrosso: I think we're still seeing all those things we talked about its just that's what they are fighting against I guess is the point here. So, the improvements and what we’re saying in launch performance in premium freight and just all across the board a better execution. I would say better relationship with the customer finding more opportunities where the customer and us can have win-win situations, our VAVE group essentially Doug formed when he came here in a much more meaningful way than had existed is really starting to gain traction, all those things are helping offset some of those headwinds I just articulated.
Emmanuel Rosner: Great. Thanks for the color.
Operator: Thank you. Colin Langan of UBS. You may ask your question.
Colin Langan: Thanks for taking my question. I’m not sure that some of our Brian question earlier but I think in the past that you had mentioned renegotiating our commercial negotiations about 40% of the issues that you're facing impacting March. I think it was 60%, 40% pricing. I mean where are you seeing the pricing negotiations they are completed and if not, where do you stand on trying to set new pricing contract.
Doug DelGrosso: First of all, thanks for the question, Colin. When I think about my initial comments when I first arrived at, I was characterizing things as you know renegotiation I think as I spent time and got more engaged with team. What turned into a renegotiation really was more a backlog of open commercial issues, so I would characterize it different. This isn't a business that was underbid, and we had to go and completely reprice. You know products like seating that are engineered products that go through the development cycle there’s a number of scope changes that had commercial impact and because the company was experiencing distress launches the customers really weren’t particularly interested in having any commercial discussion until we resolve their operational issues. So, just adding a little bit more color. I think the characterization of 60:40 is at a macro level, a pretty good assessment though I would say how you resolve the issues, you can capture on those operational or not, the one example we illustrated in the earnings deck today was a way to solve a commercial issue through operational improvements and that is kind of getting the customer recognizing what real run rates are going to be out of his operation, they're different than the contractual agreement that were forced to support from a capacity standpoint. Once they essentially relieve us from that contractual obligation, we can then flex down our labor and pull that cost out. Do you call that commercially or do you call that operational, you can bucket it either way, the way it buckets in our numbers internally that shows up more operationally because pricing didn’t change, but labor against pricing has gone down significantly. So, some real great progress made there. Going back to the first question, I think about some of the commercial issues in terms of waves. We have some really tough issues on a global SS&M project. I had a huge backlog of authentic issues; we saw that through kind of ways of commercial and operational activity. We had a huge success in the first wave which on a kind of a normalized run rate got us to a cash neutral position as a big step for us on a program of that magnitude in the SS&M Group. And it sets the stage for us to have further discussions with the customers and introduce kind of value win-win opportunities for them whether the way we said we do that is just completely changing I’ll say the environment with our customers so by executing on future launches with them that creates a completely different relationship with them we’re now allowed to bring in ideas to further take cost out. So, there is a second wave that you’ll start to see that comes forward in Q4 and what we think we’ll do in fiscal year 2020. So again, I'm trying to provide you kind of more detailed and how I think about the business today versus my initial impression when I first got here.
Colin Langan: Got it that’s helpful and any color on the operational issues I mean is it can you boil it down to the one that’s are purely operational and contractual issue I mean is it I think in the past you said handful plans are you down to two or three plans that are driving some of that and how quickly can those pure operational issues exit [ph]?
Doug DelGrosso: Yeah, I think what we’ve done is we’ve got now changed the approach initially it was really a handful plans in a few regions that were deeply distressed, and they were in the midst to launch. That to a certain degree stabilized. I would say despite approach the way we run the business. In every region, we will always have a top five focus plant initiative. Plants that we think are underperforming operationally. And so, each - Americas, Europe and Asia have a top five, we'll constantly be working those. I think you can see some of the performance gains we're making in premium freight, containment costs, which is on the line inspection. Good progress there. The real, I'd say inflection point in the -- in our performance will be as we go through our next phase of launch activity. And the way, we capture launches is really all in efficiencies. SOP plus 90 days. If those inefficiencies are still in place, it moves -- we capture with operational waste containment and things like that. The launches that we're having now are going quite well. And what I'm anticipating is that as we transition those projects out of the launch phase into standard production pace, we'll be operating with the lower level of cost structure, inefficiencies that have been really killing us over the past couple of years. So again, as we come out with our 20 numbers. We will probably put brackets around that to -- you can anticipate year-over-year improvement in those areas.
Colin Langan: Got it. Thanks for taking my question.
Doug DelGrosso: You're welcome. Thank you.
Operator: Thank you. John Murphy of Bank of America-Merrill Lynch. You may ask your question.
Unidentified Analyst: Good morning. This is Ingrid Smith [ph] on for John. Your first question, you've commented in the past that you're China joint ventures have largely been self-funding in nature. And as we understand it, this has been a reason why that business had been holding up better than the consolidated business until more recent quarters. As the market is deteriorated, how much control does Adient have on pulling cost out of its JV? Is it tougher than the consolidated business to be decisive in surgical and cost reduction? Given the JV partners?
Doug DelGrosso: I'll start out answering the question. Jeff can certainly provide some more detail. I think less about, I mean, indirectly, it's our JV partner. It's really our relationship with the government that if there is anything that presents a barrier to our ability to flex on the cost side. It's maybe what the government's position within the region, the city that that plant operates. I would say for the most part, the vast majority, we have a lot of influence consolidated, obviously unconsolidated at driving that down. I would say our partners have a huge vested interest in those operations remaining profitable and conserving cash. I've been actually quite impressed to see the reaction in China, considering that's not been the mode of preparation for the last whatever you could argue 20 years. And so, we've really flexed out our costs aligned with volume. And if you look at the performance of the region, against that volume drop. You can see, basically they are maintaining a level of profitability and there's a small footnote in that even if you look at the non-consolidated - that performance is pulling through. So, I don't -- there is really not huge barriers to us to influence that.
Jeff Stafeil: Right. And fortunately, our JV partners are very aggressive with it. We were somewhat concerned as we went into this, because China had an experience to downturn of any significance in a long time. And as a result, we were working with them closely. But they were quite aggressive. If you look at our margin performance in the quarter year-to-date, we've adjusted extremely well in the region to the sales environment. And if you think that contribution margins are roughly two times EBITDA margins, they've held margin, despite the sales decline and despite is pretty significant sales decline. So, I would say that, they've performed extremely well and should be poised when the market recovers to profits have a little bit of a rebounder of a pickup and margin as that happens.
Unidentified Analyst: Great, that's very helpful commentary. And then a bit of a follow up questions to some that have been asked already on pricing dynamics. Doug in the nine to 10 months that you've been on the job if you could perhaps qualitatively comment as commercial discussions with customers been more or less challenging in recent months as the industry environment remains really tough. And asked another way, are you seeing your customers pushback more so now than they perhaps did earlier this year, when I think there was an assumption that some of the industry pressure might be more transitory?
Doug DelGrosso: It's always pretty challenging. I can't think of any time that pricing discussions with our customers have not been challenging. And expectations high when volumes strong, there is high expectations, when volumes slow, there is high expectations, more of a sense of desperation. I think what's really changing right now, and, and this is very much specific to the seating business. In a -- make these comments against the backdrop and not being in the business for a while and coming back to it. I think over the last few years, our customer has moved to controlling a lot of the supply chain and controlling a lot of the engineering of the product. And when the market was strong, that worked relatively well, I would argue there were a lot of inefficiencies with it. But the strength of the market overcame the inefficiencies. What we're seeing right now is the market weakens or there is concern that the markets weakening our customers are not really equipped to find ways to reduce costs as effectively as they have had in the past. And it's in every single customer that I've met with has an initiative right now, to engage with the supply base, to find ways to reduce costs. I consider that a great opportunity in one that didn't exist over the last few years, because there was a sense that they could control this more effectively than the supply base. We're not going back to the days of full-service supplier and things like that. But over the course of the last, I'll say two months, we've had executive level meetings with four of our major customers, and I'm expecting to have them with all of our major customers, where they've they really opened up the door and said, Look, bring us our ideas, we need to find ways to benchmark our vehicles against our competition, to look for value creation opportunities. And what I like about it as well as because it's happening at a high level, we're not bumping into the normal for bureaucracy end resistance to change that those executives are taking it on, they're directing the organization to go after these ideas, if you bring them forward, and you've really done your homework. And you can present them with all of the insight of why this is a good thing for them to do and what the risk assessment is. I see a window of opportunity here for us to get some things done that up until recently, we haven't been able to do it. So, always a lot of pressure, always high expectations. But if we can link it to actually pulling cost out, and then sharing some of that, then it's a win-win.
Unidentified Analyst: Great. That's very helpful. And last one if I may for Jeff, in terms of drifting and actions taken to reduce cap expand that you cite on slide 19. Can you detail where this is coming from? Is it maintenance CapEx and restructuring actions that you're getting a bit more efficient on? Or is it gross CapEx that you're pulling back on in anyway?
Jeff Stafeil: I wouldn't characterize it as growth CapEx at all. I think it's smarter utilization of our capital. I mean, there is examples of reusing equipment, instead of buying new welding lines looking for opportunities there. I'd say lots of efficiencies in how our program teams are going about capitalizing a new program. So that's one, the timing of it too. We also I think compared to some previous years, we've really drifted down on will say the unnecessary CapEx that had been in the business or stuff that really wasn't focused on the business, an example might be our old headquarters building that we had spent a fair amount of money on. We've directed really our capital towards things that really provide the best returns and making sure we do not jeopardize any programs or any launches as a result, so that's another thing, just in the sequence of drifting, we also made sure that we don't leave any programs in disarray as we drift that capital. So, I'd say good balanced with a lot of discipline, a lot of team members really thinking creative ways and remembering we do have a pretty substantial asset mix in the company. Also, which will drive our CapEx down in the future just to kind of give forward look on this, it won't -- it doesn't impact too much in 19 or even 20 but as we take a little bit of focus away from growth in the SS&M business that is where our large majority or large portion probably half of our capital has been dedicated in the past, some significant opportunities to reduce the spending in that area.
Unidentified Analyst: Great, that’s very helpful.
Doug DelGrosso: Thanks for the questions.
Mark Oswald: Christie, it looks like we're at the bottom of the hours so that will conclude the call today. Again, I know we do not get to a couple of the questions that were in queue. I’m this afternoon and this morning for follow-up call, so please feel free to give me a call and reach out. Thank you everybody for participating.
Doug DelGrosso: Thanks, everyone.
Operator: Thank you. This does conclude today's conference. You may disconnect at this time and have a good day.